Operator: Welcome to the Advance Auto Parts First Quarter 2012 Conference Call. [Operator Instructions] Today's conference is being recorded. [Operator Instructions] Before we begin, Joshua Moore, Director of Finance and Investor Relations, will make a brief statement concerning forward-looking statements that will be made on this call.
Joshua Moore: Good morning, and thank you for joining us on today's call. I'd like to remind you that our comments today contain forward-looking statements we intend to be covered by and we claim the protection under the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments or results and typically use words such as believe, anticipate, expect, intend, will, plan, forecast, outlook or estimate, and are subject to risks, uncertainties and assumptions that may cause the results to differ materially, including competitive pressures, demand for the company's products, the economy in general, consumer debt levels, dependence on foreign suppliers, the weather, business interruptions and other factors disclosed in the company's 10-K for the fiscal year ended December 31, 2011, on file with the Securities and Exchange Commission. The company intends these forward-looking statements to speak only as of the time of this conference call and does not undertake to update or revise them as more information becomes available. The reconciliation of any non-GAAP financial measures mentioned on the call with the corresponding GAAP measures are described in our earnings release and our SEC filings, which can be found on our website at advanceautoparts.com. For planning purposes, our second quarter earnings release is scheduled for August 9, 2012, before market open, and our quarterly conference call is scheduled for the morning of Thursday, August 9, 2012. To be notified of the dates of future earnings reports, you can sign up through the Investor Relations section of our website. Finally, a replay of this call will be available on our website for one year. Now let me turn the call over to Darren Jackson, our President and Chief Executive Officer. Darren?
Darren R. Jackson: Thank you, Joshua. Good morning, everyone. Welcome to our first quarter conference call. First, I'd like to thank our 54,000 Team Members for their hard work and congratulate them on their performance during the first quarter. The consistent focus on service leadership and superior availability and our Team Members' commitment to excellence resulted in a good start to 2012. The combination of solid comparable store sales growth and expense management allowed us to grow our operating profits nearly 21% in the quarter and increase our operating income rate by 167 basis points to 11.5%. Mike will provide more specific details on the first quarter financial results later in the call. During the quarter, we continued to grow Commercial through providing customers with both reliable and increased delivery speed, improved availability and through our efforts to increase the strength of our multichannel sales offering, with the rollout of our business-to-business e-commerce platform. During the quarter, we restarted our commercial wave rollout and our growth continues to be fueled by rapid acceleration of our Commercial sales over the last several years. In the first quarter, Commercial made up approximately 38% of our total sales versus 36.6% of our total sales in the first quarter of last year. Additionally, we are pleased with the improved top line and bottom line performance of our commercially focused Autopart International business. AI generated a 6.2% comp store sales increase, while increasing their operating income rate by 246 basis points. Our DIY business continued to improve and positively contributed to our comp store sales growth. We continue to increase the level of service our Team Members provide, better focus our advertising to drive customer traffic and maintain our competitive pricing structure to better compete locally. All in, our comp store sales grew 2.1% for the quarter. Our performance was strong over the first 3 months of the first -- of the fiscal quarter, driven by the increase in categories such as oil, batteries and chemicals despite the high gas prices. The milder winter and early spring weather allowed our customers to get an early start for the spring repair season and perform maintenance on their vehicles much earlier in the year. However, we saw softness in our failure-related categories as cars were more able to endure the mild winter, and as such, the demand for those products was lighter than anticipated. Although we had a very solid quarter in sales, our growth underperformed our expectations as our business significantly slowed in April, partially offsetting our fast start to our year. As we start our second quarter, we continue to see the softness that we witnessed in April. However, we believe this slowdown is temporary and does not overshadow the strong structural elements of our industry, including the roughly 240 million vehicles on the road and the average age approaching 11 years. We believe these factors will continue to be major drivers of the long-term growth and the stability of our industry. Gas prices have decreased from their previous highs earlier in the year, and we are optimistic that the pace of our business will accelerate as gas prices decline. As such, we will remain committed to our priorities for the year and the pace in which we execute each initiative. As a reminder, those priorities include improving our in-market availability through the continued expansion of our hub network; the opening of our new DC during the back half of the year; our continued efforts to enhance our e-commerce offerings and to increase the penetration of our B2B e-commerce platform for our commercial customers; focused training for our field teams in the areas such as service leadership, inventory management and commercial execution; and finally, continued rollout of our commercial wave programs and the completion of the in-sourcing of our commercial credit to strengthen our competitive footing within the commercial market. Mike will provide more specifics regarding the full year outlook in a moment. A few weeks ago, I was thrilled to visit with all of our general managers and field leaders from around the country during our Annual Leaders Forum. I walked away with countless examples of how service leadership is being ignited across our company and it was truly inspiring to see the energy and enthusiasm from all of our leaders. I'd like to close with an example of how one leader is bringing services our best part to life in the field. Mike Byrd had joined Advance 23 years ago as a part-time salesman and has continually excelled with the company, serving as Regional Vice President for the past 5 years. He is a very focused leader, spending a tremendous amount of time side-by-side with his district leaders. He does a fantastic job coaching his teams on ways to better serve our customers. Mike fully understands that our team is in our stores first and foremost to serve our customers. Mike is very engaged and connects very easily with our store teams, but he also sets a very high set of expectations for the team. The recent financial and strategic results that his teams have posted in a very competitive market, including top customer satisfaction scores and high marks, both in team member retention and engagement, are truly a testament to Mike's leadership and dedication of his entire leadership team. Mike accepts excellence as the standard of performance and it shows in the outcomes he is driving. Thanks, Mike, and keep driving us towards excellence. Now I'd like to turn the call over to Kevin Freeland, our Chief Operating Officer.
Kevin P. Freeland: Thanks, Darren, and good morning. I'd also like to congratulate the team for a solid first quarter. I'll take a moment to highlight a few of our accomplishments during the quarter, as well as update you on initiatives to support our superior availability strategy and new store growth. As Darren mentioned, we continue to move full speed ahead on our key priorities for the year, which include our work to increase breadth and depth of our in-market product assortment and availability. This objective is carried out through the efforts to increase the number of hubs in the marketplace, as well as providing delivery capabilities from strategically positioned hubs and to continually improve the availability in our non-hub stores through the inventory upgrade process. During the first quarter, we added 23 hubs and our total hub count is now 317 stores. Additionally, we upgraded the inventory in 155 stores during the quarter. As a direct result of our hub strategy and inventory upgrades, our in-stock levels are up 70 basis points over last year and continued to run at record levels. As a result of increasing sales and better pacing of inventory investments, our inventory levels decreased 0.5% during the first quarter versus first quarter of last year. Additionally, we continue to expand our accounts payable to inventory ratio, which increased roughly 820 basis points versus the first quarter of last year and now stands at 82.5%. This increase in AP ratios allowed us to reduce our own inventory per store by 33.5% with our total owned inventory decreasing $174.2 million or down 32% versus first quarter of last year. Turning to gross profit, our gross profit rate declined 38 basis points to 50.1% versus first quarter of last year, which was in line with our internal expectation. The anticipated decline was driven by a slower pace of inventory growth resulting in higher supply chain costs as a percent of purchases. However, these cost increases were partially offset by efforts to improve the productivity of our labor and DCs and reduce our transportation costs by focusing on markets and routes where we can better leverage our hub delivery costs. Operationally, we continue to improve and employ high standards of inventory management and asset protection. As a result, the negative impact of shrink on our margins last year has abated and had no effect on our margins during the quarter. The improvement in shrink was achieved a couple of quarters earlier than we had anticipated. We continue to make progress on the opening of our Remington, Indiana DC. We remain on pace to begin receiving product during the second quarter and anticipate beginning shipping product in the third quarter. This new DC will serve over 400 stores, including daily delivery to nearly 200 stores. Beside these capabilities, this DC will provide us with much needed capacity, improve our overall supply chain productivity and continue to increase our overall availability. We continue to reach new customers and grow our sales through the successful expansion of our e-commerce capabilities and new store openings. During the first quarter, we opened 22 Advance stores, 3 Autopart International stores and closed 5 Autopart International stores. As of April 21, 2012, the company's total store count was 3,682 including 200 Autopart International stores. Now let me turn the call over to our Chief Financial Officer, Mike Norona, to review our financial results in greater detail.
Michael A. Norona: Thanks, Kevin, and good morning, everyone. I'd like to start by thanking all of our talented and dedicated Team Members for their contributions to the solid financial outcomes we delivered in our first quarter of 2012. I plan to cover the following topics with you this morning: one, provide some financial highlights for our first quarter of 2012; two, put our first quarter results into context with our expectations and key financial dimensions we use to measure our performance; and three, provide some insights on the remainder of 2012. For the first quarter, we are pleased with our ability to grow our profitability with EPS increasing 32.6% to $1.79 per share versus $1.35 during the first quarter of last year. Total sales increased 3.1% to nearly $2 billion, driven by a comparable store sales increase of 2.1% during the first quarter and 82 net new stores over the past 12 months. Our comps were primarily driven by continued growth in our Commercial sales, including Autopart International and the increasing contributions by our e-commerce business. As Kevin mentioned, our gross profit rate in the first quarter was 50.1% versus 50.5% in the first quarter 2011 or a decrease of 38 basis points. This was in line with our expectations. The decrease was primarily due to a much lower pace of inventory growth, which drove higher supply chain costs, partially offset by improvements in supply chain labor and transportation costs. Our SG&A rate of 38.6% decreased 205 basis points versus first quarter of 2011, primarily due to actions we took last year to build a more competitive cost structure, including productivity improvements of our store labor, a planned shift in expenses from Q1 to Q2 and some continued actions to produce our administrative support costs. The planned shift in expenses, which were previously communicated during our fourth quarter conference call, include our annual general managers meeting, advertising and some strategic investments. Our team's improved execution and commitment to grow our business while building a more competitive cost structure resulted in a 20.7% increase in operating income versus first quarter of 2011 to $224.6 million. Our operating income rate increased 167 basis points to 11.5% in the first quarter and 11.3% on a trailing 4 quarters basis. Our EPS increased 32.6% to $1.79 per share. Free cash flow grew to $153.1 million for the quarter, driven by our strong growth in net income and reduced owned inventory. As Kevin mentioned, our reduction in owned inventory was primarily due to our efforts to increase our accounts payable to inventory ratio, which is now at 82.5% versus 74.3% in the first quarter of 2011. At the end of the first quarter, we had $600.6 million of debt on our balance sheet and our adjusted debt to EBITDAR was 2.1x, which is below our previously stated ceiling of 2.5x. Our average diluted share count was 74.2 million shares at the end of the quarter. As we have stated in our press release, the company's Board of Directors authorized a new $500 million share repurchase program. This new authorization replaces the remaining $200 million of the company's $300 million share repurchase program authorized in August 2011. We remain confident with the solid industry fundamentals, the commercial market opportunity and our ability to profitably grow over time. As we have consistently communicated, we prioritize growth first as our primary use of capital to increase shareholder value, which includes growing our business through our strategic investments and operational performance and looking for future growth opportunities or strategic capabilities that capitalize on the market growth opportunity. While we see growth as our primary focus to increase shareholder value, we will continue to use share buybacks opportunistically, reflecting our confidence in achieving our growth plans. As Darren mentioned, our business softened significantly at the end of the first quarter and we are off to a slow start in Q2. We believe the softness in our business is temporary and we remain confident about our growth prospects, given the continued solid industry dynamics, market opportunity and consumer preference for necessity. Our commitment is unchanged to rolling out our strategic investments at the same pace as we originally planned, which are focused on Commercial, availability, supply chain and e-commerce. We remain relentlessly committed to growing our Commercial Business, given the market opportunity and potential. We have investments aimed at the foundational elements of serving our customers, improving the consistency in which we serve and developing additional capabilities such as B2B platform and the in-sourcing of our commercial credit function. We are pleased with the growth of our Commercial sales per program, which currently is at $643,000, and we continue to be confident in our pathway to achieve our goal of $750,000 per program. We are also pleased with our accelerating B2B e-commerce platform and see much growth ahead. Turning to profit, we are pleased with our continued improvement in our operating income per store and our record trailing 4-quarter operating income rate of 11.3%. Our performance is driven by our team's solid operational performance and actions we took last year to build a more efficient and competitive business that would enable growth and improve our profit model. These actions are allowing us to grow our business while funding the investments in areas, such as Commercial, availability, supply chain and e-commerce and improve our profit model. We are confident that the actions we have taken are the right ones, as we have been able to improve the productivity of our store labor each quarter since the first quarter last year, as well as the consecutive improvements in our DIY sales performance. As a result of our commitment to build a more competitive cost structure while funding our strategic investments, our total SG&A dollars per store decreased 4.3% to $656,000 per store. These actions have enabled us to achieve record profitability and, more importantly, continue to provide us confidence in our pathway to achieve 12% operating margins. As we look at value creation, we continue to maintain our disciplined approach to capital, which is reflected in our return on invested capital of 20.3%, which increased 230 basis points over the first quarter last year and represents a 440-basis point improvement on a 2-year basis. We are also pleased with our 82.5% AP ratio and continue to see opportunities to improve our AP ratio and reduce our owned inventory. We are focused on ensuring we are benefiting from our increased inventory per store to meet our customer availability needs and to maximize our cash flow. Turning to the balance of the year, we continue to be confident that the fundamentals in our industry are strong. However, we think it's prudent, given the recent softness in our business, to temper our second quarter expectations, and we anticipate that our comp store sales will be flat to negative low-single digits in the second quarter. In addition, the previously communicated planned expense shift from the first quarter to the second quarter will negatively impact our SG&A during the second quarter by roughly $13 million or $0.10 per share. All in, we anticipate a decline in year-over-year operating income dollars during the second quarter. Given these solid industry dynamics, our plan to maintain our investment profile and our operational expectations, we expect our annual comp store sales will grow at low-single digits for 2012. Our gross profit rate is tracking according to our previously communicated outlook and we will make the appropriate adjustments to trend in our business, including adjustments to our variable expenses and maintaining our disciplined focus on managing our administrative and support costs. As a result, we expect that our total SG&A dollars per store will be approximately flat to up 2%. Although we anticipate our profitability during the second quarter will be constrained, we are maintaining our previously communicated 2012 EPS outlook of $5.55 to $5.75 per share. In closing, I would like to thank all of our talented Team Members again for their performance during our first quarter. They made a meaningful impact with their relentless focus on service and operational excellence which were key ingredients to improving our growth, profit and returns in our first quarter. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question today is from Greg Melich with ISI.
Gregory S. Melich - ISI Group Inc., Research Division: Two questions, one on the top line and then on the SG&A. The do-it-for-me business there, and if I got that right, you said it was 38% versus a year ago. I back into a do-it-for-me comp of around 5%. One, is my math right? And 2, what do you think really drove that deceleration? It seemed like do-it-for-me took a bit more on the chin this quarter than DIY?
Darren R. Jackson: Greg, we never give out the specifics, but you're generally pretty good with your math. And I would say a couple of things, Greg. What we saw and we tried highlight in the script today was the fact that if we would have reported in March, it would have been a much better outcome April. The business just seemed to take a step change down. It wasn't just in the core, but we saw it in our AI business too, which is principally a northeast business. Now we don't get market share anymore regionally, so we can't tell you the impacts for the greater market. But we can tell you that what we saw in April was just in our failure categories, in particular in that northeastern section of the country. It was disproportionally hit. When we look to the south, it didn't take as much of a hit. So when we back up, we'd say let's not overreact because we had a milder winter and we pulled some business probably out of the April time period into March time period. So that's what we can see in the business today. So as we said in our conference call script, as we look out, we have been here before where the business has zigged and zagged in different ways, and I don't think and you should have heard on the call, we don't plan to overreact, we don't plan to stop focusing on what we're focused on and we plan to just drive the business forward as we have been the past 4 years.
Gregory S. Melich - ISI Group Inc., Research Division: And then second, and I'll take this, I guess, to Mike on the guidance. If you just look at how much the EPS grew in the first quarter, you're already into your guidance for the range. So do you think that your EPS for the rest of the year will effectively be flat and the plan is you're down in the second quarter and then up a little bit in the back half for or is it your guidance still doesn't include any buyback and that might be some that that's part of the difference? Could you remind us of that?
Michael A. Norona: Yes, I think that's exactly the way to think about it. Greg, you heard in the comments we are going to see constrained in the second quarter and that's part because of some of the timing of our GM conference and the advertising of some of the things I referred. You can see that our EPS for the year is planned to be up -- we plan to be in that range. If the business is a little bit slower, we'll be in the lower end of that range. If the business comes back, and as Darren alluded to, then that's why we put a range out there. But I think that's exactly the way to think about it.
Gregory S. Melich - ISI Group Inc., Research Division: Is your buyback in the guidance or not?
Michael A. Norona: It is not. And very consistently, we don't put our buyback in the guidance.
Operator: Our next question is from Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: A couple of questions. First, on the top line, if you could allude to or talk to the experience you had in traffic and ticket, particularly in DIY, and whether that experience has changed at all over the course of the past few quarters?
Darren R. Jackson: Yes, Matt. So for the last few quarters, we've been talking about the DIY ticket. The DIY transaction count, it's been down. The ticket has offset that, and again in this quarter, we did see a positive DIY comp number. It wasn't a big number, but the transactions, I would say, have roughly remained the same in terms of their consistent trend of being down, offset by ticket. When I look at our overall ticket trend, our commercial tickets and our DIY tickets, what we saw in the first quarter was that combined ticket trend was a little better than the previous 4, but we just didn't see the growth in the overall ticket. So transactions -- combined transactions weren't as difficult in this first quarter as they had been in the previous 4, but the overall growth in the ticket has slowed a little bit. And that probably doesn't come as a surprise when the mix of business out of failure changes a little bit and we haven't seen as many price increases this first quarter as we did last year.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Got it. My second question relates to capital allocation. If you could just give us a sense as to your internal thinking about the buyback and the cadence thereof, the past couple of quarters, you obviously haven't done very much. The decision to re-up the authorization and more than double it in size, presumably reflects some intent to deploy that buyback in the immediate future. So how have you thought about it? And by the way it looks in retrospect like a fortuitous decision. How have you thought about the pace of the buyback and what has driven your decision on when you're buying back stock and when you've put that on hold?
Michael A. Norona: Yes. Matt, it's Mike. So share buybacks have been and are an important part of our capital deployment. But in our view, and as we've consistently behaved, they're not the only opportunity to deploy capital, to create shareholder value. And we've consistently said that we prioritize growth first as our primary use of capital, which includes growing our business through the strategic investments in our Commercial Business, our availability and our operational performance and looking for future growth opportunities and strategic capabilities, things like B2B. They capitalize on the market growth we see. So that's where our first priority is. That said, while we see growth as the primary focus to increase shareholder value, we use buybacks opportunistically to reflect our confidence in those investments, in those growth investments. And we measure ourselves on those investments on ROIC, which we're very pleased of over the last 4 years. It's up 580 -- last 4 years, up 580 basis points. And what I'd say, if you look back historically, we have, our behavior showed, that we bought shares opportunistically and you can reasonably expect us to buy shares in the future, which is why we have a repurchase authorization.
Operator: Our next question is from Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: I know last year's first quarter probably wasn't what you guys expected, now we're seeing this big deceleration in April and a soft start to the second quarter. Now last year's, part of last year's issues was self-inflicted, if I remember right. A lot of changes in the field for us, et cetera. Was there anything internally that may have happened in April or is this simply a function of you saw the drop in traffic, ticket, whatever it was.
Darren R. Jackson: Yes, Scott, I would say that internally, there's not anything that comes to mind. A matter of fact, we were purposeful. We even moved our leadership meeting out to the end of -- or the beginning of the second quarter in order to keep the teams focused. I don't know how to say it more clearly that the month of April was just a step change, and I think weather evens out over time, that deferred maintenance build hasn't changed. We can see from the northeast to Miami very different patterns, of what's happening. And you know what? Your point is a good one. We were on this call last year and I look back now and the only thing that's occurred in the last 4 quarters is that our trailing 4 quarters operating income rate is up 150 basis points. Our ROIC is up 200 basis points. Our owned inventory is down $170 million and our SG&A per store, and maybe this gets overlooked, is that we're constantly balancing how do we get to a better operating model. It's down $30,000 per store. And there's no doubt in that delicate balance of trying to grow your business, accelerate your business and drive the profitability and increase returns. You're going to have moments that are nonlinear. And so, what you should have picked up on the call is that we learned something from last year in terms of how do we keep the teams focused on the business, how do we not overreact to something in the moment and how do we stay, going forward, on the key strategies that we laid out.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: That's helpful, Darren, and then with the slower sales results and the changing compensation plan that you've implemented across the organization, do you start to get -- when do you start to get worried, if at all, about potential increase in employee turnover?
Darren R. Jackson: Yes, that's a fair question. Well, what we can see right now is if you look at the Hay Group, they will tell you across the nation in retail, we've seen a pronounced pickup in retail turnover, specifically, mostly in part-timers which is not new. I think what their data would say is we're returning to pre-2008 levels. When we look at our own data, there are -- we care about all of our Team Members, but we look at our parts pros for example, which are just fundamentally critical to our Commercial Business, and we've not seen any material change in our commercial parts pro turnover in the last 12 months. So if I had to pick a group of Team Members that we watch very carefully it’s that group, when we look at our general managers, that hasn't moved but a point or 2 and less than the national averages. And we look at our CAM workforce, our sales force, that's picked up a little bit. Those things will happen. Sales Team Members are a unique, special and hungry group, so when sales are happening or not happening, they will move place to place as well. But there's not one group today, when I look within our mix over the last 12 months, where I go, we've got a problem. But I wouldn't want to mislead you that they have ticked up, but they're nowhere near the 2008 levels that we had seen as a company.
Operator: Our next question is from Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Darren, a question on gross margin trends in the industry. So looking at O'Reilly and AutoZone, they're seeing the same growing sales contribution from Commercial that Advance is seeing. And yet, those 2 companies are posting higher gross margin rates, raising gross margin guidance for the year. How do you go about reconciling the gross margin direction at Advance compared to those 2 peers?
Kevin P. Freeland: Hey, Dan, this is Kevin. I think there's a number of things that would define that. One is, if you were to take the trailing several years, we were posting triple digit growth in gross margins, multiple years in a row and overachieving our competitors at that point. Some of the things that we did were opportunities that any modern retailer could pursue. And just going through the press releases of our competitors, there's maybe a sameness of some of those strategies that are getting deployed at different times over the past few years. I think that explains part of it. Part of it is also, we've explained this, we're bringing on additional supply chain capacity, and what had been a tailwind in margin had been a consistent supply chain set of assets in a growing company we're leveraging over the last several years. We're putting on a material facility and the related costs to that, which is unique to us. Additionally, we are constantly, as an industry, competing back and forth and making sure that we are tracking each other's movements and pricing our products to be competitive, and that will change from quarter-to-quarter of -- in which direction are you adjusting in any one moment. But I think if you look at where we benchmark against them in absolute dollars, adjusting for the fact that we have a slightly smaller commercial mix then O'Reilly's and a much larger commercial mix than AutoZone, I think we stack up well in that comparison.
Michael A. Norona: And Dan, it's Mike, I think go back to our outlook, we are expecting that our margins will be modestly up for the year. So I wanted to put that context out there for you.
Darren R. Jackson: Yes, and you would say there are structural moments where margin improves, we're early on Remington, the benefits, the costs are in front of us, right in front of us, but the benefits of the efficiency are quarters away, if not a year away, as we build up that capabilities in Remington, Dan. And we see the opportunity after Remington more structural benefits. But they just, the chronology of getting there, there's cost before the benefits like many of our initiatives that we run before. You probably saw earlier this quarter our Wearever Platinum launch of our brake program. It's just more of the work that our merchandise teams are doing in our private label product as a way of bringing higher quality product to the marketplace. That has better margin attributes as well. So the global sourcing benefits continue to be out there and giving us benefits, and we recognize there are pockets out there of price competition that we need to respond to. So it’s a -- this constant balancing act. But our absolute margins, near 50 points, our margins that we're happy with. And as Mike said, we still see opportunities to grow those margins, not at triple digit rates, but to balance it in light of the environment too.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And then as a follow-up question on the sales growth performance in April seems to mirror the direction that O'Reilly was highlighting, perhaps a bit more of an impact for Advance. You noted that it appears to be more weather-related, maybe transferring business forward rather than economic issues, gasoline, SARs, whatever. What is your experience -- if this air pocket in revenues is weather-related and transferring sales, what will be the duration of this? In other words, at what point will that begin to normalize and begin to get back to the sales ramp that you were talking about earlier in the year? Is this 3 months, 6 months?
Darren R. Jackson: Yes. That's fair in terms of -- there are a couple of things to go into that. If you give me a very hot summer on into the fall, that will be outstanding for our business. As you know, better than many, that those extremes really propel our business. What we're pleased about on the last call, and I think we tried to signal this when we gave our original guidance as we were looking out, is that gas prices, we can see this in the '09 numbers and the '10 numbers that when gas was called at $2.80 a gallon, that consumer is, from our vantage point, continues to be under duress. I mean they haven't gotten raises in a couple of years, many of them. So when gas begins that downward movement, and I would say that I'm hopeful that we peaked, the things that we read about today suggest more likely than not gas is coming down and not going up in the near term. So we see that as we go into the back half of the year as being a plus. The other thing that we see as a plus, and it's partly a result of the milder winter in many of our core markets, we saw actual miles driven for the first time pickup. Last year, you couldn't drive a lot in the northeast as a result of the weather, and now it's first few months. But we know miles driven and it doesn't happen immediately, but it's wear and tear on the car. So we see that as a positive sign as we start to look -- as we look further out. And I don't know if that's the third quarter, I don't know if that's the fourth quarter. And though unemployment is still at a stubborn level, I think it's 8.2%, that tends to be a little bit of an overhang. And in an election year, who knows how the consumer begins to think about themselves again. And so when I put that all together, I see the positive theme, certainly gas prices have plateaued and have begun to come down. That traditionally is a good guy for us. Miles driven ticking up, it is a lead, that typically is a good guy for us and miles driven did go up in the first quarter of the year. In terms of unemployment rate, it's not 9% anymore, 8.2%, I'll call that kind of steady as she goes. So neither -- not necessarily a positive, but not going backwards again. And how the consumer is thinking about in an election year just personally, their spending habits, who knows in terms of what that means to. It does not change the fundamental number of cars on the road, doesn't change the age and it does not change the deferred maintenance bill, which is $60 billion. And if I recall in the '07, '08 period, where we roughly, as an industry, and we can see in the total market share numbers that the total market has come down a bit, particularly in March and April. That when we get relief in terms of some discretionary income, that deferred maintenance bill comes due. It just didn't come due in April and May, the beginning of May this year, but that bill is going to come due.
Operator: Our next question is from Gary Balter with Credit Suisse.
Gary Balter - Crédit Suisse AG, Research Division: First question and then a follow-up, you've done a good job on expenses and is it possible that maybe you've cut too deep in terms of trucks per store or commercial salespeople or change in the comp structure? How do you evaluate that because the weakness seemed to be much more in the Commercial side than on the retail side?
Darren R. Jackson: Yes, Gary, you're right. We have taken out, in the last 12 months, about $30,000 per store. When we look at just fundamentally the number of trucks per store, the number of trucks in the enterprise, those are up modestly. So they're not up double digits and we have deployed new techniques like Flex Fleet to make sure we're getting the trucks to the right place. We're not pouring them on at double-digit rates like we were 2 years ago. So that's -- you're right about that. Our sales team has grown roughly 6% over the last 12 months. So we've added salespeople. But, I don't know if this is a but -- and for example, we have had a more concerted effort on our B2B platform, a little better than a year ago. That number was probably closer to 0. Today, it's approaching double digits and we think that there's growth ahead of us in terms of B2B penetration. That has a twofold effect. It makes it easier for our customers to shop. The retention rates are better. In our own Commercial Business, what we can see in the first quarter, our best customers, our retention rates were at the highest levels that they've been in a year. Those actually went up. So what we can see going forward to your point is we look at driving the business going forward. It's going to take a little bit more in terms of driving new customers in because we're feeling good about how we're retaining our best customers. Now we got to widen that sales bundle a little bit. And as we said in our prepared remarks, whether it's through waves process [ph] or whether it's through our commercial credit program, which we think today were competitively disadvantaged, that's why we're taking it in-house in order to use that more as a tool to enable more in the sales process, that those things are things that we've learned how to do very effectively over the last 4 years. And over the balance of the year, we're not pulling back on those things. We're pushing ahead of them.
Gary Balter - Crédit Suisse AG, Research Division: And then you mentioned the offsite that you had, I think, in Charlotte. Could you talk about the strategic initiatives that you discussed with the employees?
Darren R. Jackson: Well, I would just say just generally the key theme to our Charlotte leadership forum was one, we talked about commercial excellence so this very -- I'm not going to repeat what I just said, is that for our commercial programs to continue to grow at the rates we expect them to grow, it's going to take more of a combined effort from our sales and operations teams. And so part of that work together was how do we use the sales and operations team to build more of a commercial sales culture and the execution in terms of whether it's delivery times, the number of call CPPs are making, the follow-up on focus customers, the roles and owning those commercial relationships. And with culture, it doesn't change overnight, but it's just a more a concerted effort to own the commercial sales culture throughout the organization was one. We talked about inventory excellence. One of the things you did not hear on the call today is that our margin was challenged by shrink. I can't tell you how proud I am of the team in terms of turning that around. So part of just being able to make the sale is that we have to just be outstanding at our on-hands and this business, as Kevin always tells me, it's an item business and making sure we have everything ready and available in improving our close rates at the point of sales. So we spent a fair amount of time talking about inventory excellence. We talked about service excellence, and service excellence throughout all the key roles in our organization and helping our Team Members understand the customer expectations and the Team Member expectations. And across the country today, different than a year ago, every team member knows where they stand every day in terms of their sales performance and sales expectation. And we're systematically going across the country. And at this level, working to every team member to understand their sales contribution, their transactions per hour, their DPT per hour and how we can better help them serve our customers better in terms of delivering on the outcomes. We spend a fair amount of time, a good amount of time also listening. And so a good portion of this, we also had 3 days with some of our best commercial customers, talking to us about what's on their mind and what we can do better to serve them in terms of where we're falling short or where the industry is falling short. So we used that time in Charlotte also with our best customers in terms of a customer forum. And then as Mike alluded to and Kevin alluded to, we have many, I'll call it, technical improvements to the business. The B2B platform, our e-services and how we sell those into the marketplace are important to us to talk to the team about. We're working on our own new EPC in order to make it easier for our Team Members to sell to the customers and be enabled in terms of the selling process. And probably lastly and probably most importantly, we used a good chunk of that time to just celebrate the outstanding performance of many of our best sales Team Members and general managers.
Operator: Our next question is from David Gober with Morgan Stanley.
David Gober - Morgan Stanley, Research Division: I was just wondering if you could talk a little bit more about where you saw the slowdown in terms of DIY versus Commercial in April, and just kind of -- and you've alluded to it a little bit, but just wondering if it was significantly more drastic in the DIY business or if it was fairly evenly spread between the 2.
Darren R. Jackson: I'd say relatively speaking they both took a step down. So as we said, our DIY business comped positive. They comped positive in the fourth quarter of this past year. It was comping much more positive in the first 3 periods of the quarter. But David, I would say that the last time that I've seen this little step change, I think it was Thanksgiving of '07. There was just, from the beginning of Thanksgiving to the Christmas period, something just fundamentally seemed to change. Now it was warmer Christmas back then with the consumers' buying habits. So that leads me to believe, when I can look across both businesses, I don't think the consumer is walking away from their car needs. But I just fundamentally believe and when I don't know, I call our Team Members and spend time with our Team Members who have been here 30 years and said, we've seen this before and when we look north to south, we can see in the failure categories and the wiper categories, we can see the impact of those changes.
David Gober - Morgan Stanley, Research Division: Okay. And just to dig a little bit more on the DIY side of the business, you mentioned that you were comping much more positively earlier in the quarter, but I was just wondering what you're seeing in the competitive environment there and if that's -- obviously, this is, I think, the fifth quarter in a row that, at least on a per store basis, that the DIY business is down. And are you seeing incremental pressure there that you think will persist?
Darren R. Jackson: I don't know that we're seeing anything competitively different. Probably, the fundamental competitive difference between our competitors and our self is just the number of new stores that we've been adding as an organization relative to others. Now we have said previously as we look out, we see an opportunity with new stores to grow them at a faster rate for sure. Now those new stores, and it's one of the things we didn't talk about in our prepared remarks, our new stores in the first quarter exceeded our expectation. As we look out, there will be new store closing that gap in terms of new store growth, but they're much more commercially driven new stores than DIY-driven new stores. The overall market, we continue to believe in DIY and I think we've said this for years is that '09 and '10 were somewhat of an anomaly because structurally the market we believe is a 1, maybe a 2 grower going forward. And in that 1 or 2, we know that there's a little bit of inflation that historically has been in those product categories. So I don’t think there’s been fundamental competitive or fundamental structural changes in DIY. I think there was just a fundamental choice that the consumer might have spent their money on x versus y because they didn't have the same pressure coming out of a winter season. And they spent some of those dollars a little sooner. We might even say that they spent those dollars, we didn't have a tough December in terms of weather, January. In many of our markets, March was much more historically high warm weather relative to April.
David Gober - Morgan Stanley, Research Division: Just one final follow-up since you mentioned the new store strategy. You closed, I think, 5 AI stores this quarter and the new stores or maybe a little bit less than at least we were expecting. Just curious if you -- if you're still on track in terms of the store opening plan this year and if the 5 store closures were indicative of anything broader or just one-off choices.
Darren R. Jackson: No, absolutely not. They were just small sores. Some of them will be relocated.
Michael A. Norona: Yes. We're on pace to open the number of stores we put in our outlook and they're just more -- and it was planned this year, just more towards the back of the year versus last year.
Operator: Our next question is from Mike Baker with Deutsche Bank.
Michael Baker - Deutsche Bank AG, Research Division: So on your sales on guidance there, obviously includes an increase in the back half of the year, an acceleration. If that doesn't happen, how much of the SG&A can you take out in terms of what you're planning on spending? I understand you think [indiscernible] the last few months is just an anomaly and so no need to panic. I get that, but if it does turn into a more of a [indiscernible] trend, can you pull out some of the expenses?
Michael A. Norona: Yes. So a couple of things happen. One is, there are certain expenses like variable expenses that will naturally flow with sales. So those will flex up and down as sales flex up and down. We also have discretionary dollars that we can flex up and down. The things that we're not willing to compromise are the things that Darren talked about. We still think the fundamentals in this industry are strong areas. So investing in areas like Commercial, availability, our supply chain, our e-commerce, our global sourcing, I can go on, are important. And we also see opportunities for some of the work we did last year to build a more cost competitive structure, where we can pull costs out that are furthest away from the customer to fund those investments. And I'll remind you that's why we gave you a range. We expect our SG&A per store to grow in the kind of flat to 2, and we will toggle somewhere in that range depending on how the sales flex.
Michael Baker - Deutsche Bank AG, Research Division: If I could ask a follow-up, maybe I'm just not getting enough. But [indiscernible] your total sales and the percent that was DIFM versus DIY, I get that total DIY sales are up 0.8%. And given the square footage growth, I guess, how do I square that if that is in fact right? How do I square that with your DIY comps being positive?
Darren R. Jackson: Well, you'll have to check your math because we're not -- they were positive, but they were modestly positive. So I think it's just in the rounding.
Michael Baker - Deutsche Bank AG, Research Division: Okay. Fair enough. Then last one if I could. If you think that the slowdown in April was just a pull forward and May is temporary [indiscernible]. I guess, why change the full year comp guidance from low- to mid-single digits to just low-single digits? Is that just you think it was just a pull forward and short-term disruption just being a little bit prudent on that outlook?
Michael A. Norona: Yes. I think that's right. It's Mike. I think that's right.
Operator: And our final question today comes from Bret Jordan with BB&T Capital Markets.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: Just a quick question. If you like at the timing of the demand, it seems like weather impacted pretty significantly. Have you looked at a comparable SKU basis over a 2-quarter standpoint? It sounds like if failure parts were soft, have you looked at, between fourth quarter and first quarter, whether the demand was pulled forward or whether it's just total loss of demand given the lack of winter?
Kevin P. Freeland: Yes. We definitely saw improvement in maintenance categories even in fourth quarter. It was a very mild December. If you look, switching to the wiper-blade business and you see it sequentially declined from fourth quarter into the first quarter. So clearly, as Darren briefly stated, benefit of maintenance categories absolute pull forward into both, even as early as November and things like the occurrence chemicals [ph]. So that's what we've seen coming into April.
Bret David Jordan - BB&T Capital Markets, Research Division: Okay. So on the 2-year stack basis, do you have a feeling for total of the loss demand on the failure parts? Things just did not break with the lack of winter?
Kevin P. Freeland: Certainly if you look at some of the categories that are heavily indexed into the northern markets like under car, yes, the cars just did not get the kind of salt and grime that drives damage to those vehicles, and we've seen that sequentially from last year to this year in terms of overall failure category performance or lowering performance.
Operator: This concludes the question-and-answer session. I will now turn the call back to management for any final comments.
Joshua Moore: Thank you, Wendy, and thanks to our audience for participating in our first quarter earnings conference call. If you have any additional questions, please call me, Joshua Moore, at (952) 715-5076. Reporters, please contact Shelly Whitaker at (540) 561-8452. And that concludes our call. Thank you.
Operator: Thank you. That concludes our call today. You may now disconnect. Thank you for joining us.